Operator: Good day, everyone, and welcome to the New York Times fourth quarter 2007 Earnings Call. (Operator Instructions). For opening remarks and introductions, I would like to turn the call over to Ms. Catherine Mathis. Please go ahead, ma'am.
Catherine Mathis: Thank you, and good morning, everyone. Welcome to our fourth quarter earnings conference call. We have several members of our senior management team here today to discuss our results with you and they include Janet Robinson, our President and CEO; Jim Follo, our Senior Vice President and Chief Financial Officer; Scott Heekin-Canedy, President and General Manager of the New York Times; and Martin Nisenholtz, Senior Vice President, Digital Operations. Our discussion today will include forward-looking statements, and our actual results may differ from those predicted. Some of the factors that may cause them to differ are included in our 2006 10-K. Our presentation will also include non-GAAP financial measures, and we have provided reconciliations to the most comparable GAAP measures in our earnings press release, which is available on our corporate website, www.nytco.com. As noted in the release, because of our fiscal calendar in 2006 we had an additional week in the fourth quarter and for the year. We estimate that the extra week added $50.8 million in revenues, $36.8 million in costs, $14 million in operating profit, and pre-tax income of $14.3 million or $0.06 per share. All of the comparisons mentioned in our formal comments on today's call exclude the extra week in order to make the numbers more meaningful. An archive of this call will be available on our website, as well as a transcript and a version that's downloadable to an MP3 player. With that, let me turn the call over to Janet Robinson.
Janet Robinson: Thank you, Catherine, and good morning, everyone. Today we announced the results of a challenging quarter, one that showed the effects of a slowing economy but also demonstrated our progress in transforming our company. Before going in to the details of the quarter, I'd briefly like to recap 2007 and what we accomplished, particularly in building for our future. In a difficult year for the media industry, the company achieved some significant successes. As many of know, our strategy has four drivers; introducing new products both in print and online, building our research and development capability, rebalancing our portfolio of businesses, and aggressively managing costs. In each of these areas, we made substantial progress, and as a result, in 2007, our operating profit from continuing operations before depreciation, amortization and special items increased 3%. We have noticed the special items in our earnings release. We believe that we are on the right path. We have powerful and trusted brands whose relevance and high quality content attract educated, affluent, and influential audiences highly valued by advertisers. This is true in print, and it is true online. Because of their strength, we were able to extend our brands across new geographic areas, new platforms, and into new products that contributed to our revenues and profits in 2007. We launched new print publications on topics of interest to our readers and in areas where advertising, even in this difficult market, continues to grow. We introduced new ad formats both in print and online. In the digital area, we launched new verticals on NYTimes.com in areas such as small businesses and health, and we expanded others in topics such as technology, travel, and entertainment. We increased our e-mail offerings, launched more than 50 blogs, and offered more than 2000 videos on NYTimes.com. In early November, we unveiled a redesigned boston.com, the website of the Boston Globe. The redesign provides easier navigation, news sections and things to do in the New England area, and simple tools for users to find, read, and submit content. The About Group, which includes About ConsumerSearch, UCompareHealthCare, and Calorie-Count had a very successful year. About.com saw healthy traffic growth with average monthly unique visitors of 35.9 million, up 12% from 2006 and average monthly page views of 304.7 million, an increase of 16%. Its revenues grew 35%, and for the first time surpassed the $100 million mark. Since we acquired about.com in 2005, we have invested in organically growing its business and we have also acquired companies that strengthened its position in key verticals, especially health. For the company as a whole, our digital revenues grew 22%. They represented approximately 10% of the company's total revenues in 2007, up from about 8% in the prior year. Our research and development group, whose work underpins our digital strategy, helped us enter into new alliances with Monster and Yahoo and an expanded relationship with Google. The research and development group worked with all of our operating units to develop new mobile applications. At our mobile site for NYTimes.com, traffic grew 600% in 2007 to almost 10 million monthly page views. And, it now has a strong roster of blue chip advertisers. Last year, we rebalanced our portfolio of businesses. We sold assets generating growth proceeds of $615 million, including the sale of our Broadcast Media Group, and our radio station 'WQEW-AM'. The proceeds were used to pay down debt. We continue to regularly review our portfolio of businesses to determine if they are meeting their targets for financial performance, growth and return on investment, and remain relevant to our strategy. Another area of strategic focus is to increase our operational efficiency and to reduce cost. Last year our operating cost, excluding depreciation, amortization and the additional week, decreased 2%. We are determined to reduce cost from our year end 2007 cost base by a total of $230 million this year and next, excluding the effects of inflation and certain one-time cost. We plan to remain very much focused on cost, particularly in a softer economy. Those are the highlights of the year. Let me turn now to the details of the quarter. Today, we reported fourth quarter EPS from continuing operations of $0.37, compared with a loss per share of $4.59 in the fourth quarter of 2006. In the 2006 fourth quarter, we had two items that make quarterly comparisons difficult. One was the non-cash charge of $5.11 per share for the write for the write-down of intangible assets of the New England Media Group. The second was, as Catherine mentioned, an additional week due to our fiscal calendar. In the fourth quarter of 2007, we had a non-cash charge of $0.03 per share for the write-down of the company's 49% investment in Metro Boston, which publishes a free daily newspaper in the Greater Boston area and a non-cash charge of $0.04 per share for the write-down of intangible asset at the Worcester Telegram & Gazette, whose results are included in the News Media Group. Excluding these special items, fourth quarter EPS from continuing operations in 2007 would have been $0.44, compared with $0.46 in the fourth quarter of 2006. In the fourth quarter, operating profit before depreciation, amortization, and the items I just mentioned, decreased 6% to $159.2 million, compared with the $169.8 million. Let me turn now to revenues. Ad revenues at the News Media Group decreased 5.6%. Real estate advertising, our largest classified category, continued to be affected by the nationwide slowdown in the housing market. At the Times Media Group, ad revenues decreased about 3% in the quarter, while we saw an improvement in ad revenues in October and November due to strong national advertising. December was noticeably weaker, down 13%. We believe part of this was due to an overall softening of the economy, part was due to fewer days in which to buy advertising before Christmas in fiscal December, and part was due to the shift of our T: Holiday publication into November in 2007 from December in 2006 National print categories that performed well in the quarter included financial services which benefited from strong branding and retirement campaigns, as well as ads seeking to restore consumer confidence hurt by the subprime mortgage crisis. Entertainment, which had a very strong October particularly with color ads, and fashion, which had a good quarter due to continued spending by luxury advertisers and a strong performance by our T: Holiday magazine. In total luxury print advertising, which makes up about 10% to 11% of the Times Media Group, revenues were up mid-to-high single digits. The main national print categories, where we saw declines with technology products where several large advertisers reduced spending and more dollars shifted online; healthcare, where a host of pharmaceutical companies did not repeat campaigns that ran in the prior year; and transportation, as airline print expenditures were down from their very strong showing in the fourth quarter of 2006 when they introduced new campaigns. Classified advertising decreased in all three major categories: real estate, recruitment, and automotive. Retail advertising revenues were down mainly due to decreased advertising from mass market and department stores. New products benefited us in the quarter. One area where we had notable success was in the introduction of international T magazine which focused on fashion, beauty, travel, and home design. In early December, we launched T Online, an exciting new web offering that was acclaimed by readers and the luxury advertisers it targeted. We plan to continue to develop the T franchise. The New England Media Group continues to grapple with the soft advertising climate. Fourth quarter advertising revenues decreased 10% due to weakness particularly in the classified retail categories. Ad revenues in the national category declined in the fourth quarter as a result of the technology, pharmaceutical, and media categories. Retail advertising declined in the quarter due to weakness in department stores, food and drug stores, and computer office supply outlets. Overall classified advertising at the New England Media Group was soft in all three major areas: real estate, recruitment, and automotive. As in other U.S. cities, real estate advertising declined in Boston due to the soft housing market. New products targeting luxury categories helped offset some of the ad revenue declines in the quarter. Fashion Boston and the new publication called Lola, which covers local restaurants and shopping, added to revenues. Both of these publications have attracted new national and local advertisers. At the Regional Media Group, advertising revenues decreased 11%, mainly due to lower levels of classified advertising. Real estate, recruitment, and automotive advertising declined significantly. Much of this was related to the downturn in the Florida and California housing markets, which we began to see in the fourth quarter of 2006 and has affected not only real estate, but recruitment and retail advertising, including the home improvement, home furnishings, and department store categories. About two-thirds of the ad revenues at the Regional Media Group came from newspapers in Florida and California. In the fourth quarter of 2006, real estate advertising revenues rose 3% at our Regional Media Group and this past quarter fell 25%. Similarly, recruitment ad revenues declined 31% at the Group. Total circulation revenues were up 3% in the quarter, mainly because the New York Times increased its prices in the fourth quarter of 2006 and the third quarter of 2007. Overall, The Times and their other newspapers are executing a circulation strategy that rebalances the copy mix away from less profitable other page circulation to highly profitable individually paid. As we execute this shift, we do expect to see copy declines, but by pursuing this strategy we have realized, and will continue to realize, significant benefits to our expense performance. Last year, we added a new national print site for the Times in Salt Lake City and we are seeing increased copy sales in that market. This month, we opened another site in Dallas and a third site is scheduled to open in the first half of this year. We expect each of these sites will reduce distribution and other costs as well as increase national circulation. Other revenues at the News Media Group rose 5%, similarly as the result of rental income from space we leased out in our new headquarter, an additional commercial printing revenues. In the fourth quarter, the New England Media Group began its multi-year contract with GateHouse Media to print two of its daily papers in the Boston market. The Group already prints several newspapers, including Metro Boston and the New York Daily News. Our Web group had another strong quarter. Total revenues grew 35% to $30.7 million because of higher advertising rates and increased volumes in both display and cost-per-click advertising and the acquisition of ConsumerSearch.com. Excluding acquisitions that we acquired since the fourth quarter of 2006, revenues grew approximately 23%. Excluding depreciation and amortization, operating profit for the About Group grew 25% in the quarter to $15.4 million from $12.4 million. The ongoing development of content verticals across all of our websites has helped The Times Company become the 10th most visited parent company on the web in the United States with 48.7 million unique visitors in December, up approximately 10% from December of 2006. Our reach represents nearly 30% of the online audience in the United States. Last month, Nielsen Online again ranked NYTimes.com the number one newspaper website, a position it has long held. At 17.2 million unique visitors, NYTimes.com is nearly twice the size of the next largest newspaper website. In total, our digital businesses grew 18% in the quarter, excluding the additional week, and generated $95.2 million or 11% of the company's revenues. Revenue growth for our online properties has been higher than our peers. This is mainly because of the high quality content of NYTimes.com attracting a diverse base of national advertisers, and the About Group generates most of its revenues from fast growing display and cost-per-click advertising. This gives us a more diversified revenue base than many of our newspaper peers, who are heavily reliant on up-selling classified print advertising to the web. Approximately 49% of our digital revenues come from display advertising, 21% from classified, 16% from search and 14% from other sources, such as online archives. Looking at 2008, we can see continued challenges for print advertising in a faltering economy. To-date in January, the percentage decline in advertising revenue is trending similar to that of December. Our strategy has been to carefully focus on preserving and enhancing the value of our core newspaper brands, at the same time that we position our company for a strong and vibrant future in an increasingly digital world. While results will vary from quarter-to-quarter, we believe that over the long term the strategy we are executing and our approach, careful and deliberate, respecting the essence of our brands and the value we place on quality journalism will increase shareholder value. Now let me turn the call over to Jim.
Jim Follo: Thank you, Janet. As Janet mentioned, we continue to tightly manage expenses in the fourth quarter. Operating costs, excluding depreciation and amortization, declined six-tenths of a percent, primarily because of lower newsprint's compensation expense. Newsprint expense decreased about 25%, approximately 14% of the decline resulting from lower prices and about 11% resulting from decreased consumption. The Times reduced the width of its printed pages in August and the Globe did so in the fourth quarter, further decreasing our newsprint consumption. With regard to compensation expense, our headcount was 3.8% lower at year end compared with the prior year end. The decline in overall cost was partially offset by higher staff reduction costs and professional fees associated with the company's new headquarters and expense reduction initiatives. Staff reduction cost in the fourth quarter was significantly higher than those in the same period a year earlier. They amounted to $17.8 million compared to $8.5 million in the same period a year ago, a swing of $0.04 per share. Depreciation and amortization in the quarter totaled $46.7 million versus $54.6 million in the same period a year earlier. A decrease was mainly attributable to lower accelerated depreciation expense for the assets at Edison, New Jersey printing plant, which we are in the process of closing. The operations at Edison will be consolidated with the operations of our newest printing plant in the New York area. In the first quarter of 2008, we expect about $5 million in accelerated depreciation for the plant consolidation project. Because the Edison plant is expected to close in March, we anticipate that accelerated depreciation will stop after the first quarter. Moving to CapEx; spending in the fourth quarter totaled $84 million, including $16 million for our new headquarters and about $32 million for the plant consolidation project. For the year, capital spending totaled $375 million, including a $166 million for our new headquarters, and $97 million related to the plant consolidation project. In closing, I would like to return to the topic of costs. As a result of the steps we have taken over the past two years, we have significantly reduced costs and realized productivity savings. Last year, we exceeded our goal of reducing costs of $65 million to $75 million, excluding inflation and buyouts. As Janet mentioned, we expect to decrease our cost base by approximately $230 million in 2008 and 2009, excluding the effects of inflation and one-time charges, as compared to our year end 2007 cost base. Approximately $130 million of that amount is expected to be achieved this year. Some of the anticipated savings will come from the initiatives we have mentioned, such as the consolidation of printing plants, page with reductions and shift away from less profitable circulation. But, the majority of the savings are expected to come from initiatives that will involve standardizing, streamlining, and consolidating processes, and shifting staff to lower cost locations. Areas that present the greatest opportunity are general administrative, production, technology, distribution, and circulation cells, and we continue to look for cost reduction efficiency opportunities throughout the organization. Our cost initiatives will be carefully managed so that they do not adversely affect the quality of our journalism, the smooth functioning of our operations, and our ability to achieve our long-term goals. We are carefully executing and monitoring these cost initiatives and are on track to achieve the savings, while continuing to explore opportunities to make our operations more cost effective. In closing, recognizing that the Media marketplace is in the midst of a significant transition and the economy is showing signs of weakening, we believe it is more important than ever to continue to exercise strong financial discipline as we execute our business strategy and allocate capital. And with that, we will be happy to open up to your questions.
Operator: (Operator Instructions). We will take our first question from Alexia Quadrani with Bear Stearns.
Alexia Quadrani - Bear Stearns: Thank you. I have a couple of questions. First is following up on given your comments about $130 million in savings in 2008. Could you give us a bit more color of when some of these savings should materialize as the year progresses? Then I have a follow up.
Jim Follo: We do have detailed plans for each of the items that make up that $130 million, obviously as we close the Edison plant after the first quarter, obviously things will begin to accelerate. But we would expect to see cost reduction initiatives throughout the year, but certainly taking a step up once we close the plant.
Alexia Quadrani - Bear Stearns: And then I think you mentioned that the January trends are very similar to December companywide in terms of advertising revenue. Could you comment specifically on how national is trending in January what you have seen so far?
Jim Follo: At the New York Times, it's trending down, but we are seeing a slow start to the year. January typically is a period when our advertisers are finalizing their plans. We expect national to perform much in the same way as it did last year. You may recall that there are categories that are extremely challenged in the national set. Tech/telecom will continue to be challenged this year. We expect the luxury segment to perform well this year, may be not quite as strong as last year in light of the economy, but nevertheless up in the mid-to-single digit range and entertainment should do modestly well this year as well.
Alexia Quadrani - Bear Stearns: What are your anticipations I guess for the financial services category? And then specifically on that category: could you give us a sense of how much of national is financial services and sort of how broad-based your customer base is there?
Jim Follo: Financial services had a very good last year and extremely strong fourth quarter and it's off to remarkably strong start in January. But given the uncertainty in that whole segment, we're not really sure what to look forward to in the remainder of the year. Financial services category is 7% to 8% of our total revenue base.
Alexia Quadrani - Bear Stearns: Okay. Thank you very much.
Operator: We will take our next question from John Janedis with Wachovia.
John Janedis - Wachovia: Hi, good morning, and thank you. Scott, as a follow-up: what are you hearing from larger advertisers who typically give you that sense of the annual spending plan? Are they telling that they budgeted for recession here or just a slowdown?
Scott Heekin-Canedy: It's hard to make a sweeping generalization, but I'll do it with the caveat that we've been making for the last few years that this media environment is extremely volatile, visibility isn't great and that's because while advertisers have their spending plans, they react very quickly to changes in their strategy or changes in the environment marketplace. After a period of uncertainty at the variant of last year and then turning the corner into this year, we're getting better line of sight into their spending plans for the year. They seem to have incorporated economic uncertainty into their spending plans and we've had in mind the categories that were generally good for us last year. We expect to be good for us this year in low growth to modest growth, and the categories that were challenged last year were expecting to continue to be challenging all of those adjusted a little bit for economic uncertainty. I don't believe anybody has factored in a recession into their spending plans.
John Janedis - Wachovia: Okay, thanks. And just a quick follow-up: Where are you on the shift away from third party? Does that get you some sort of steady state sometime this year or next year? Or: how do you think about that?
Scott Heekin-Canedy: Circulation: third party?
John Janedis - Wachovia: Circulation, I'm sorry, circulation.
Scott Heekin-Canedy: We are continuing to scale back on that. We continue to retain programs that are good, that are good revenue programs for us and effective for advertisers, but we continue to implement as Janet has already said circulation strategy that will allow for some modest declines as we restructure our circulation base, but we'd point out in addition to growing revenue last year, circulation revenue. We continue to grow our core circulation base. We have a total of around 1.1 million home delivery subscribers. We have over 800,000 now that have a tenure of two years or more, and this is a number that's being growing steadily for the last several years and it continues to grow and indicate the core strength of our circulation.
John Janedis - Wachovia: Thank you very much.
Operator: We will go next to Craig Huber with Lehman Brothers.
Craig Huber - Lehman Brothers: Yes, good morning. Just following up on your comment that you said none of your advertisers are factored in a recession to the advertising plan. Just in light of the December and I guess January numbers roughly down 13%, 14% are you signaling then: if you actually do [go in recession] or maybe we're in one right now that you guys should expect that number to get worse potentially going forward?
Jim Follo: Well, I'll reiterate that I made a sweeping generalization. Class V categories as you would expect are much more challenged by this environment than retail and national, so obviously what we expect, that's factored into our outlook for real estate help wanted and to a certain extent automotive.
Craig Huber - Lehman Brothers: But again national down 8% in month of December, retail down 14% to 15%, they are taking a hit here as well.
Jim Follo: I would caution about the December numbers, because of the caveats that we've already described and that were in our press release.
Craig Huber - Lehman Brothers: You are saying that in January similar trends are right?
Jim Follo: In total.
Craig Huber - Lehman Brothers: In total.
Jim Follo: But my point earlier was that there was hesitance in the first couple of weeks, as advertisers were taking the measure of the economic climate and finalizing their spending plans for the year. We have seen our communication is that we are starting to understand the spending plans now and we don't believe that hesitation that we saw the first couple of weeks built into January is going to continue.
Craig Huber - Lehman Brothers: So your forward bookings perhaps, and you do have some visibility for February and March you perhaps feel little bit better there: that's what you are saying?
Jim Follo: A bit better, but remind you that we have different comps in January, February and March.
Craig Huber - Lehman Brothers: Okay.
Jim Follo: January of last year was one of the stronger months on a our comp bases, I think we are comping against much stronger comps than we will see for the remainder of the year.
Craig Huber - Lehman Brothers: And then lastly, if I could just ask procedural questions given that your company has been in news a lot last week prior to today. On your Board Directors, you nominated in governance committee, it's my understanding that they can accept or reject any people that are put forth, nominated on be four board directors out of the 13. Is that true they actually end up rejecting not allowing somebody or series of people to be put up on the proxy to be voted on by outside shareholders? That there is no way those folks can get voted in?
Janet Robinson: Craig, as we indicated in our press release, our board is nominating in governance committee. We'll review the nominations and make a recommendation to our shareholders in due course. Beyond that we really don't have anything to add. We regularly meet with our shareholders and we are going to continue to do so to keep them abreast of what indeed is happening at the company. We've always done that and we certainly will continue to do that.
Craig Huber - Lehman Brothers: Okay. Thank you.
Operator: We will go next to Karl Choi with Merrill Lynch.
Karl Choi - Merrill Lynch: Hi. I have a few questions here. The first one is: I wonder if you can give me the percentage change in your non-newsprint, newspaper cash cost in the quarter?
Jim Follo: Non-newsprint cash cost in the quarter companywide were up 2.6%, a lot of that increase was driven by a much higher level of buyouts in the quarter as we stated previously. If you were to exclude buyouts in the quarter, our cash cost would have been up about 1.1% and that's not the trend that you have seen throughout the year. And I think that's really result of a few difficult comparisons in the quarter which we don't expect to be recurring going forward. We do have some duplicate costs as we transition some of our work overseas which is a critical part of our cost reduction program, both in '07 and '08. We mentioned that we've got some professional fees in the quarter, which are non-recurring that are for special projects that are occurring both in the fourth quarter and some carryover into the first quarter as well. And then they were some year end compensation issues which both adjustments in the current year and the prior year going opposite directions which created a fairly large spread on the compensation line which is non-recurring as well. So overall we cut through it all and we still continue to do a pretty good job of managing [very tightly] on that.
Karl Choi - Merrill Lynch: And back to the revenue line for a second in the New York Times in the national category. It sounds like what you're saying: I guess I’m trying to figure out: did any category actually weaken in the months of December and January? Because the weak categories that you mentioned seem to be the ones that have been weaker all year along. Are they just that much weaker? Or: other categories change their performance?
Jim Follo: That's a hard question to answer because there is, especially in the national categories they spend differently in the holiday season than retail categories and I'd recommend that you look at the performance in aggregate for both December and January at the specific categories, because of the EDS increases of their spending seasons.
Karl Choi - Merrill Lynch: And next question is on the headquarters building: can you update us on what's your latest thinking in terms of potentially returning some cash to shareholders?
Jim Follo: Our thinking and our statement will consistent with what we've said repeatedly, which is we evaluate this thing probably this regularly. So next time we have a clear use of cash, we will do a transaction and continue to evaluate both market conditions use of cash and many other factors in evaluating that, but right now we have nothing really to add to that.
Karl Choi - Merrill Lynch: Last question: any update on whether the $60 per ton increase in newsprint prices is going to in the first quarter?
Jim Follo: We certainly are seeing a tightening in the market as everybody else is and we certainly expect upward pressure on prices to what extent, that's about us as much as we can say there certainly a tightening market and it's certainly a different market than we saw all of 2007.
Karl Choi - Merrill Lynch: Great, thank you.
Operator: And we'll take our next question from Fred Searby with J.P. Morgan.
Fred Searby - J.P. Morgan: Yeah, couple of questions one is may or may not be willing to answer this, but in looking at divestitures potentially and pruning the portfolio: What would you reconsider? Particularly the Boston Globe notably. And then secondly: can you just comment on the Monster deal? I know you are in an extreme difficultly and facing headwinds on that side, but: just what your thoughts? And: how that's progressing or maybe hoping you think about your business model? Thanks.
Janet Robinson: As I think, we have said before, we don't comment on acquisitions and divestitures, but we constantly evaluate our portfolio not only for strategic fit, but certainly for financial performance and we will continue to do that. I think that's certainly evident by our actions last year in regard to our broadcast group, our sale of our portion of Discovery Times and certainly the sales of WQEW. I think that what we are doing is focusing on continuous improvement both on the cost outline and at the Boston Globe and Worcester Telegram & Gazette and looking at new product development both in online and print that will assist them in growing their business going forward. In regard to the Monster partnership I'm going to have Martin give you an overview in regard to that.
Martin Nisenholtz: Hey, just to give you a quick overview as you may know each property has launched a co-branded website featuring Monsters Job search and Match technology as well as related tools and content designed to help job seekers advance their carriers. What that brings us is really three things, a much greater level of scale of marketing power and technology and on the last piece on the tech piece, the idea obviously is to arm our sales forces across the company with capabilities and products more importantly that they never had before. And that ramped up that learning curve and sales capability ramped up through the later half of 2007 and into 2008. In addition there are transitional impacts with Monster, because of the agreement we have them with respect to client conflicts. So we cycle through those transitional impacts particularly in Boston as we get out to the second quarter, as we get out to the implementation date from last. So what you'll begin to see as we go forward through the years is: We cycle through those transitional impacts. The sales forces are up the learning curve now, and all new products that they are selling and that will be governed to some extent as you suggested by whatever recessionary forces are hitting the job market. So I can't sit here and tell you exactly what percentage growth we will seeing on the digital side as a result of the Monster deal. But I can tell you that it’s a good thing we did it, because if we hadn't the recession impacts would be much greater.
Janet Robinson: Its also important to note that the Yahoo! partnership of course will be in place this year as well with many of our newspapers of course The Regional's and Worcester Telegram & Gazette have joined the consortium and many of them will be coming online with that partnership in 2008.
Fred Searby - J.P. Morgan: Quick follow up question, conceptually: As, if the economy continues to deteriorate we can axe out the cyclical classified, but the display side or if the national advertising: do you think print will continue to suffer disproportionately? That buyers will pull money out of print over the faster growing in theory higher ROI kind of interactive and this younger's viewing TV et cetera?
Jim Follo: The economic climate will probably take a couple of points of the [clock] of what we would have otherwise seen in print this year and online will be affected much less by that climate. But I think our advertisers are still trying to determine exactly how to shift their dollars across the platforms in this environment.
Janet Robinson: I would also say that with the introduction of many new products, both in print and online at all of our properties, we are going after categories that are remaining strong and we have every intention of that being the case going forward. And many of our advertisers are really buying both print and online and we are creatively pulling packages together for them that really benefit both the print and online activities and certainly in a way in which we are selling has become much more integrated. But I think that Scott's comments are appropriate that print may be affected a bit more than certainly the fast growing online, but we will be doing everything to make sure that we are enhancing both of these platforms.
Martin Nisenholtz: And just as a reminder, you mentioned cost-per-click; we have significant cost-per-click business at About.com and that's driven by our Google AdSense relationship which we re-opt in 2007.
Fred Searby - J.P. Morgan: Great, thank you.
Operator: And we'll go next to Paul Ginocchio with Deutsche Bank.
Dave Clark - Deutsche Bank: Good morning, this is Dave Clark for Paul. Couple of quick questions, first: could you talk a bit about the average print ad rate increases you've implemented for 2008 at each of your major papers? And then second: we haven't heard about the IHT recently, if you can just give us an update on the trends there? Thank you.
Janet Robinson: The ad rates are in the low single digits, as far as the increases are concerned. The color advertising is low to about mid single-digits. And in regard to the IHT, we’ve had a very fine year at the IHT in 2007, not only from the standpoint of strong ad revenue growth but the introduction of new products. As I noted in my remarks, Dave, we introduced the international T in that market in December and did very, very well with very strong luxury advertisers support and that was very well received. We are going to be doing that eight times in fact in 2008 and the IHT has a very strong following in regard to the luxury goods segment and also financial services. We have done a lot in regard, not only to improving the product, the daily product at the IHT in recent years, but we’ve also done a lot in regard to claim the cost base at the IHT, which has certainly added to the portfolio in regard to the stronger performance of the IHT overall. There is a lot of work being done in regard to integration with the New York Times, both on the news side and the business side from a selling perspective and content creation. T magazine in fact is a perfect example of that, because some of the content in international T was from our T Magazines here in the United States. From a standpoint going forward there also is a lot of strong integration between iht.com and nytimes.com as well. So in both areas both print and online, there is more synergy that we are seeing between our global footprint and what we have here in the states.
Dave Clark - Deutsche Bank: Great, thank you.
Operator: And we'll take our next question from Peter Appert with Goldman Sachs.
Peter Appert - Goldman Sachs: Thanks. Janet is it possible for you to tell us whether you've had discussions at this point with the investors who are making the proposals with regard to the board additions? And, if so: any specific suggestions they were making to you?
Janet Robinson: We are in touch with all of our shareholders, Peter it is really a practice of the company to constantly reach out to all of our shareholders and we are in the process of doing that and have done it in fact all year long. It's very important needless to say for any company to have good relationships with shareholders and to listen to their suggestions. We have every reason to believe that there are a lot of good ideas out there that we want to hear about and you'll see us continue to do that going forward.
Peter Appert - Goldman Sachs: Okay. Fair enough thank you. Jim something more mundane and the fourth quarter tax rate was relatively low: could you explain what drove that? And then the expectation on tax rate for '08 would be above what you've been doing in recent years: any specific reason for that?
Jim Follo: Well the fourth quarter tax rate is really just a result of FIN 48, FIN 48 just forever will create aberrations in the tax rate because and you end up adjusting your tax expense based upon statutes expiring so on so. It unfortunately creates a really lumpiness in tax rate and that's just the way it happens and it's really a quarter-to-quarter thing. I think statute or in a quarter you are going to get a low tax rates, that's largely what drove the fourth quarter. On a go forward rate we see our rate is going to be in the 40% - 41% range, I would think is kind of the normalized rate going forward. There is lots of things that factor in to that and the stock market actually could have an impact on that because there are certain programs we have that create some timing differences or some permanent differences that in the past year have actually created favorable impacts on tax rates. We don’t anticipate those going forward, but if those things continue in that same way there could be some upside there, but it sometimes works the other way as well.
Peter Appert - Goldman Sachs: So this would explain why looking back over the several years its been more in the 38% 39% range?
Jim Follo: That's correct. You can't always count on those things moving in your favor every year.
Peter Appert - Goldman Sachs: Okay. And then Janet or Scott: should we anticipate another certain price increase for the New York Times in '08?
Scott Heekin-Canedy: I don't think we have a package of forecasting price increases, so I think I would say: “no comment”.
Peter Appert - Goldman Sachs: Okay today is the day though that you could start that precedent. I'll pass on and have to.
Scott Heekin-Canedy: Thank you.
Operator: We will take our last question from [Scott Schiffman] with Lehman Brothers.
Scott Schiffman - Lehman Brothers: Yes thank you. A question on credit ratings, historically you have targeted a single A rating, but that appears doubtful given industry trends and where you are currently rated and now its tough to rare even for a newspaper company be investment grade rated. So the question is: as the agencies get increasingly more negative on the sector, will you proactively take actions to defend your investment grade ratings? Or: are you willing to accept a below investment grade rating if that's what it comes to? Thank you.
Jim Follo: Look our performance largely dictates the ratings and to the extent everything we can do for performance or ratings will reflect that.
Scott Schiffman - Lehman Brothers: Would you take steps to defend your investment grade rating if the agencies threatened to down grade below investment grade?
Jim Follo: We might consider that, “yes”.
Scott Schiffman - Lehman Brothers: Would that involve de-leveraging or can you just expand on that?
Jim Follo: We've de-leveraged quite a bit and to a extent we continue past free cash, our free cash flow once we get past a high level of CapEx, we'll go up dramatically and that will put us in a much better position off balance sheet right now is pretty conservative and we expect to continue to maintain a conservative balance sheet to allow for the flexibility we need to be able to invest and grow the business.
Scott Schiffman - Lehman Brothers: Okay. Thank you very much.
Operator: And that's all the time we have for questions today. I would like to turn the conference back over to Ms. Mathis for any additional or closing remarks.
Catherine Mathis: Thank you so much for joining us. If you have any other questions, please give me a call. Bye now.
Operator: And ladies and gentlemen, that does conclude today's conference. We thank you for your participation. You may now disconnect.